Operator: Hello, ladies and gentlemen. Thank you for standing by for Huami Corporation’s Earnings Conference Call for the Third Quarter of 2018. At this time, all participants are in listen-only mode. Today’s conference call is being recorded. I will now turn the call over to your host, Ms. Grace Zhang, Director of Investor Relations for the Company. Please go ahead, Grace.
Grace Zhang: Hello, everyone. And welcome to Huami Corporation’s earnings conference call for the third quarter of 2018. The Company’s financial and operating results were issued in a press release via newswire services earlier today and are posted online. You can also view the earnings press release and the slides to which we will refer on this call by visiting the IR section of the Company’s Web site at www.huami.com/investor. Participating in today’s call, are Mr. Wang Huang, our Chairman of the Board of Directors and Chief Executive Officer and Mr. David Cui, our Chief Financial Officer. The Company’s management team will begin with prepared remarks and the call will conclude with a Q&A session. Mr. Mike Yeung, our Chief Operating Officer, will join us for the Q&A session. Before we continue, please note that today’s discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the Company’s actual results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the Company’s annual report on Form 20-F for the fiscal year ended December 31, 2017 and other filings as filed with the U.S. Securities and Exchange Commission. The Company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that Huami’s earnings press release and this conference call include discussions of unaudited GAAP financial information, as well as unaudited non-GAAP financial measures. Huami’s press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our CEO, Mr. Wang Huang. Please go ahead.
Wang Huang: Hello everyone. Thank you for joining our earnings conference call today. We are pleased to report another strong quarter with revenue of RMB1.07 billion, which exceeded our guidance range by 27.9%. Strong sales of our Amazfit products and Mi Band 3 contributed to our robust top-line results. As of November 11th, the so called Double-11 Shopping Festival of this year, we had sold over 10 million Mi Band 3 since the launch of the product, and over 30 million Mi Band 2 in total. We have had a particular focus on enhancing our overseas sales efforts, and during the third quarter, international version of our products contributed 42.7% of total shipments. It is encouraging to see this area of focus yield a growing contribution to our financial results. In addition to strong revenue growth, we also generated solid profitability during the quarter posting adjusted net income of RMB134.2 million, as a result of our effective management of product costs and operating expenses. We remain committed to developing cutting-edge products users love, and our Amazfit brand continues to gain traction. Since introducing the first Amazfit product three years ago, our sales of self-branded products grew to RMB311.3 million in the quarter, up 172.8% from the third quarter of 2017. During this quarter, we also launched an enhanced NFC version of Mi Band 3, which allows one-touch payment access for public transportation services in more than 160 major cities throughout China, as well as virtual access card capabilities to allow easy entry and exit from home, office and other locations. Moreover, in the third quarter, we were pleased to launch several new products with cutting-edge technology and exciting new features, demonstrating our strong research and development capabilities. We launched a new generation of our Amazfit Health Band 1S that allows for continuous, real-time heart rate and heart rhythm monitoring. The band can also detect arrhythmia and provide early warning of atrial fibrillation. This enhanced health band helps us further penetrate the exciting and growing market of medical-related wearables. It also allows us to provide cloud-based health-monitoring services to our users, empowered by our recently introduced AI Chip Huangshan-1. Our groundbreaking smart wearable AI Chip Huangshan-1 is the world’s first wearable processor integrated with AI neural network. We are confident it will differentiate our users’ experience, and significantly accelerate our future cooperation with insurance companies and medical service providers. In addition, during the third quarter, we launched the Amazfit Verge, the latest addition to our smartwatch portfolio, and our first smartwatch to be fully integrated with the Xiaomi IOT ecosystem via Xiao’ai intelligent voice assistant. Amazfit Verge comes with a 1.3-inch full color AMOLED round screen, as well as optimized power consumption that provides an industry-leading five days of battery life on a single charge. It boasts 11 different activity-tracking modes, and is capable of making and receiving phone calls directly via blue-tooth connected mobile phones, and displaying real time messages, including WeChat and incoming phone call alerts. As we look to the future, we will continue to invest in the research and development of cutting-edge products for the smart wearables industry. And just as we have done in the past, we expect to develop strategic partnerships with leaders in the industry to increase speed to market. More importantly, we will also focus efforts on our value-added services. In Q3, together with PAI Health, we initiated partnerships with overseas insurers and large employers in pilot programs for data based services. Certainly, our partnership with Xiaomi remains important to us, and we will continue to develop new products while drive sales of current products together. Our results in the quarter support our confidence in our outlook for the future. We remain focused on our growth initiatives, including capitalizing on international expansion opportunities, expanding our product categories, developing and releasing new products and growing value-added service revenue. Additionally, we are resolute in on-going R&D efforts that support our sports, healthcare- and IOT-related product categories, and continuing to execute our strategies to generate long-term value for all of our stakeholders. I will now turn the call over to our CFO, David Cui.
David Cui: Thank you, Wang. We delivered strong financial results in the quarter that exceeded our expectations, supported by the growing market share of our Amazfit-branded products and the continued early-cycle sales of the Mi Band 3 following its launch in the second quarter. Due to our focus on developing new, exciting and cutting-edge products, we see continued opportunity to drive sales growth both in China and overseas. Now, to the financial details of the quarter. Revenues increased by 126.7% to RMB1.07 billion from RMB474.1 million for the third quarter of 2017, primarily due to the increase in the sales of Xiaomi wearable products and self-branded products, driven by increasing market recognition of our products. Cost of revenues increased by 126.9% to RMB787.8 million from RMB347.2 million for the third quarter of 2017. The increase was in line with the rapid sales growth of Xiaomi wearable products and self-branded products. Gross profit increased by 126.1% to RMB286.9 million from RMB126.9 million for the third quarter of 2017. Gross margin of 26.7% was in line with the third quarter of 2017. Total operating expenses increased by 121% to RMB160.3 million from RMB72.5 million for the third quarter of 2017. Research and development expenses increased by 70.1% to RMB60 million from RMB35.2 million for the third quarter of 2017, primarily due to the increase in costs related to recruitment and hiring of new employees. General and administrative expenses increased by 148.3% to RMB68.0 million from RMB27.4 million for the third quarter of 2017, primarily due to the increase in personnel-related cost, foreign exchange fluctuation, and professional service fees associated with business expansion and being a public company. Selling and marketing expenses increased by 226.8% to RMB32.3 million from RMB9.9 million for the third quarter of 2017, primarily due to an increase in advertisement promotion expenses for self-branded products, and an increase in salary compensation. Operating income was RMB126.6 million, compared with RMB54.4 million for the third quarter of 2017. Income before income tax was RMB129.4 million, compared with RMB57.7 million for the third quarter of 2017. Income tax expenses were RMB21.1 million compared with RMB7.5 million for the third quarter of 2017. Net income attributable to Huami Corporation totaled RMB113.8 million, compared with RMB50.2 million for the third quarter of 2017. Net income attributable to ordinary shareholders of Huami Corporation increased to RMB109.1 million, compared with RMB14.8 million for the third quarter of 2017. Our basic and diluted net income per ADS attributable to ordinary shareholders of Huami Corporation was RMB1.89 and RMB1.79, respectively compared with RMB0.85 and RMB0.82, respectively, for the third quarter of 2017. Each ADS represents four Class A ordinary shares. Adjusted net income attributable to Huami Corporation, which excludes share-based compensation expenses, increased by 93.1% to RMB134.2 million from RMB69.5 million for the third quarter of 2017. Our adjusted basic and diluted net income per ADS attributable to ordinary shareholders of Huami Corporation was RMB2.23 and RMB2.11, respectively, compared with RMB1.27 and RMB1.22, respectively, for the third quarter of 2017. Each ADS represents four Class A ordinary shares. As of September 30, 2018, the Company had cash and cash equivalents of RMB967.4 million, compared with RMB366.3 million as of December 31, 2017. Now, let’s turn to our outlook. For the fourth quarter of 2018, the Company’s management currently expects revenues to be between RMB1.12 billion and RMB1.15 billion, which would represent an increase of approximately 48.8% to 52.8% from RMB752.6 million for the fourth quarter of 2017. This outlook is based on the current market conditions and reflects the Company management’s current and preliminary estimates of market and operating conditions, and customer demand, which are all subject to change. This concludes our prepared remarks. We will now open the call to questions. Operator, please go ahead.
Operator: Yes, thank you. We will now begin the question-and-answer session [Operator Instructions]. And the first question comes from Arthur Lai with Citi.
Arthur Lai: This is Arthur Lai from Citi group. Firstly, congrats with your strong quarter and also very strong revenue growth. I have two questions. The first question is, as David said, right now, our cash and cash equivalents in the third quarter already reached over $900 million. And I want to ask how management will utilize this greater position? That's my first question. Thank you.
David Cui: In terms of the future use of the cash, we have different strategies. One is we will continue to invest in our R&D activities, and continue to build up our overseas sales channels and promoting our Amazfit brand. And of course, we will also invest in our general operations, which include our hardware, our apps, our cloud support, all these operations. In addition to that, we will continue to look into M&A opportunities that we have been doing in the past. Thank you.
Arthur Lai: So the second question is a follow up question to maybe Wang Huang and Mike. I think company already has a plan to launch the Huangshan yi hao. So what this AI Chip can have a potential in the future. And I also read the news you launched the Huami Healthcare Cloud. Can you also give us a vision of how big this service will be? That's second question. Thank you.
Mike Yeung: Arthur, this is Mike. So regarding the Huangshan-1 Chip. Again, this is our industry first-leading AI Chip integrating our health algorithm. And it's not only the features and functions are very good, but also this is our own chip that we can manage it very cost effectively. So we will certainly plan to roll out new products soon with this chip. So your second question about the Huami Healthcare API, right?
Arthur Lai: Cloud, yes.
Mike Yeung: So for the cloud, basically, this has always been our strategy to expand our revenue stream into data and services monetization. So as you've probably seen that we've made a few acquisitions or investments recently, for example, partnering with PAI Health to go after opportunities in the insurance industry and to help manage health risk. So all these would be a big potential growth for us in the data monetization space partnering with insurance companies and also big enterprises as well.
Operator: Thank you [Operator Instructions]. And the next question comes from Thompson Wu with Credit Suisse.
Thompson Wu: Management team, Wang Huang, Mike, David, good morning. Congratulation again on a very good quarter, very strong growth and very good margin support in the third quarter. I have three questions. The first question I want to go back to Arthur's question about M&A. Can you specifically talk about what types of acquisitions are interesting to Huami technology? Is it access to vertical markets? Is it new channel partners? Is it third-party brands? Can you give us more color as to what types of acquisitions in the direction that Huami might look into? That's my first question.
Mike Yeung: Thompson, this is Mike again. So our M&A strategy, again, it's not necessary acquisition, it can just be investment as well. It's essentially focusing on the following type of opportunities. One is obviously technology companies that could help improve and enhance our product, so companies with good technological IPs that we can leverage. The second type is companies that can help us investment or acquisition that could help us expand our market growth, not just in China but also overseas. So investment in channel, for example, as well as marketing partners, so that's the second type of is to help accelerate our global expansion. And then the third type of investment would be more focused on help expanding our non-hardware revenue, for example, data, services those kind of companies that can help us to accelerate our growth in the data monetization area. So those are the three types of companies that we're looking at.
Thompson Wu: My second question is also going back to Arthur's question about the Huangshan-1S Chip that you developed. Are there specific technologies or algorithms that allow you to deliver certain features in this health band that other health bands do not deliver? I'm trying to understand if this IP in this chip allows you to differentiate your product versus competing products in market?
Mike Yeung: So basically, again, we are using this chip to enable us a few things. First of all, this chip is made by us. So in terms of cost and negotiating with different vendors, I think this chip will help us to do that, because this is our own IP. And secondly, our requirement for performance and also with the low power consumption. That's also very key and we want to continue to maintain that. And so we feel that with our own investment we can really optimize the chip to our needs and optimize for product. And for example, the ECG algorithm is right now enabled in a chip instead of running in the cloud or on the software. So we are able to enable to leverage the chip to do a lot more faster and more optimized calculation, so that’s again a better cost control.
Thompson Wu: My third question, I have a few more but I'll get back into this the queue. My last question maybe is for David. I think currency has been an obstacle for many of the Chinese hardware companies, some domestically but also overseas. Has currency been a headwind for your business in both the third quarter? And then in light of your fourth quarter guidance, which is very, very strong growth from Mi Band and self-branded product Amazfit. How should we think about margin structure for the fourth quarter, whatever color you could provide us will be very helpful as it relates to currency?
David Cui: In terms of the impact of currency fluctuation, we did not feel very material impact, reason being that for our overseas sales so our products were nearly sold through Xiaomi and also through distribution channel domestically. And certain online sales we basically we didn't change our selling price, which were all settled in RMB. So when the consumer sees our product overseas, typically, that has been going through layers of mark-ups. So the retail price maybe impact a little bit but they were not impacting us, this is from the sale side. From the procurement side and we do have overseas procurement, but is not that material either. When Chinese currency is devaluating too much, we may feel a little bit. But now the RMB is stabilizing at below 7. So basically, we didn't see material impact on our P&L. Of course, it's not much impact on our margin either. So if our margin does fluctuate that must be for some other reasons.
Thompson Wu: I asked that because I think there's some questions about, particularly in overseas markets in India where currency is also devaluing fairly quickly, seems to be a headwind from a lot of major brands that are looking to grow in the region. Is there a different strategy to manage pricing versus currency? Are you going to raise pricing in India to offset some of the margin pressure? How are you thinking about FX, specifically in India, if I may ask?
David Cui: So our products were sold to Indian market through Xiaomi, basically Xiaomi is our distributor customer. So we only settle with Xiaomi, and then Xiaomi will sell it to Indian market. So currently, we did not see any price adjustments between Xiaomi and us.
Operator: Thank you. And the next question comes from [Ling Wei Kwang] with GF Securities. Please go ahead your line is live. And the next question comes from Joyce Wei, 86 Research.
JoyceWei: Congratulations to your solid performance during the quarter. My question was regarding the mix of the Xiaomi branded products and also your self-branded product shipments. And then can you help us understand the ASP change as the ASP increased nicely year-on-year, but we also noticed that the ASP declined sequentially. Can you provide some color on this front? Is it related to the mix shift or is it related to that Xiaomi asking for higher revenue share, etc.? Thanks.
David Cui: So in this quarter, in Q3, we experienced strong sales of Xiaomi products, because we launched Mi Band 3 in early June this year. So that drive our revenue growth this quarter. So currently, the revenue mix is about 30% / 70% split in this quarter. For the nine months in this year, it's about 35% that's the revenue split. In terms of the ASP because we continued to sell Mi Band 2 at discount that may impact the Xiaomi's product ASP in this quarter. For Amazfit products ASP is purely because of the revenue mix also because we have multiple products in this category. Certain popular well sold products are priced lower, so that changed the ASP. However, the margin for post-Xiaomi product and Amazfit products did not suffer.
Operator: Thank you [Operator Instructions]. As there are no more questions at the present time, I would like to return the floor to the Company for any closing comments.
Grace Zhang: Thank you once again for joining us today. If you have further questions, please feel free to contact Huami's Investor Relations department through the contact information provided on our Web site, or the Piacente Group, the Company's Investor Relations consultant. Thank you.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines.